Operator: Good afternoon, ladies and gentlemen. And welcome to The Bancorp, Inc. Q1 2025 earnings conference call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question and answer session. If at any time during this call you require immediate assistance, please press star zero for the operator. This call is being recorded on Friday, April 25, 2025. I would now like to turn the conference over to Andres Viroslav. Please go ahead, sir.
Andres Viroslav: Thank you, operator. Good morning, and thank you for joining us today for The Bancorp's first quarter 2025 financial results conference call. On the call with me today are Damian Kozlowski, Chief Executive Officer, and Marty Egan, our interim Chief Financial Officer. This morning's call is being webcast on our website at www.thebancorp.com. There will be a replay of the call available via webcast on our website beginning at approximately 12 PM Eastern Time today. The dial-in for the replay is 1-888-660-6264 with a passcode of 80395. Before I turn the call over to Damian, I would like to remind everyone that our comments and responses to questions reflect management's view as of today, April 25, 2025. Yesterday, we issued our first quarter earnings release and updated investor presentation. Both are available on our Investor Relations website. We will make certain forward-looking statements on this call. These statements are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties that could cause actual results to differ materially from those expectations and assumptions we mention today. These factors and uncertainties are discussed in our reports and filings with the Securities and Exchange Commission. In addition, we will be referring to certain non-GAAP financial measures during this call. Additional details and reconciliations of GAAP to adjusted non-GAAP measures are in the earnings release and the investor presentation. Please note that The Bancorp undertakes no obligation to publicly release the results of any revisions to forward-looking statements that may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. Now I would like to turn the call over to The Bancorp's Chief Executive Officer, Damian Kozlowski. Damian?
Damian Kozlowski: Thank you, Andres. Good morning, everyone. The Bancorp earned $1.19 per diluted share in the first quarter, reflecting a 12% increase over the first quarter of 2024. Net income increased 1% between these periods while outstanding shares were reduced as a result of increased repurchases that occurred during 2024. Our FinTech Solutions Group continues to show significant momentum with GDP increasing 18% year over year and total fees growing 26%. Credit sponsorship balances grew to $574 million or 26% quarter over quarter, and we expect these balances to grow to over $1 billion by year-end 2025. We believe that growth in the first quarter was slowed by the impact of tax refunds, and we expect greater growth in balances over the next three quarters. While loan balances grew 17% year over year, net interest income was down 3%. Loan balances excluding consumer fintech loans grew 6%. Net interest income reflected in part the impact of the lower rate environment in the latter part of 2024 on our loan interest income, which was down 5%. The impact of lower rates was mitigated by our purchase of $900 million of fixed-rate bonds in April 2024, and excess deposit balances held in Fed funds. Those bond purchases and other fixed-rate strategies have reduced our asset sensitivity significantly. We continue to focus on reducing substandard assets in our Rebel portfolio. Respective Rebel substandard and special mentioned loans, at March 31, 2025, were down 1% and 20% compared to the prior quarter end. We continue to believe that we are at the peak of substandard assets and believe we will show progress in reducing substandard assets over the next several quarters. Lastly, based on the momentum in our FinTech Solutions Group and our reduced asset sensitivity, we are confirming guidance of $5.25 per diluted share for 2025. EPS does not include the impact of $150 million of stock buybacks authorized for 2025. I now turn the call over to our interim CFO, Marty Egan.
Marty Egan: Thank you, Damian. As was the case in the prior quarter, provisions for credit losses for consumer fintech loans and pre-strict freestanding credit enhancements were recorded in the financial statements in like amounts, with no impact on net income. In the current quarter, provision related to consumer fintech loans was $45.9 million, and the credit enhancement income was also $45.9 million. Net interest income was 3% lower than the first quarter of 2024, while the first quarter net interest margin of 4.07% compared to 4.55% for the fourth quarter of 2024. As Damian noted, current quarter net interest income was impacted by the lower rate environment, which also saw loan yields fall more than deposit rates. Additionally, fees on the majority of our growing consumer fintech loan balances are recorded as non-interest income. Average FinTech Solutions deposits for the quarter increased 26% to $7.81 billion from $6.18 billion in the first quarter of 2024. As noted in our filings, we have the capacity to transfer deposits from certain of our relationships off our balance sheet, which we utilize for balance sheet management. Excluding consumer fintech loan credit enhancement income, non-interest income for Q1 2025 was $37.8 million, which was 29% higher than Q1 2024. Total FinTech fees accounted for most of that increase. Prepaid debit card, ACH, and other payment fees increased 13% to $30.8 million over that period, and consumer credit fintech fees of $3.6 million accounted for the remaining increase in fintech fees. Non-interest expense for Q1 2025 was $53.3 million, which was 14% higher than Q1 2024. The increase included an 11% increase in salaries and benefits. Additional details regarding our loan portfolios are included in the related tables in our press release, as are earnings contributions for our payments businesses. I'll now turn the call back to Damian.
Damian Kozlowski: Thank you, Marty. Operator, could you open the line for questions?
Operator: Alright. Thank you. Ladies and gentlemen, we will now begin the question and answer session. On your phone, you will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press the star followed by the number two. If you are using a speakerphone, please lift the handset before pressing any keys. One moment, please, for the first question. Your first question comes from Frank Schiraldi with Piper Sandler. Please go ahead.
Frank Schiraldi: Morning.
Damian Kozlowski: Good morning, Frank.
Frank Schiraldi: I wonder if you guys could just in terms of the margin, which is obviously been a little bit of a moving target here. You mentioned the reduced asset sensitivity. And, obviously, the fintech loans, you know, you get income elsewhere. But in terms of I just for modeling purposes, I was wondering if you could provide the average yield on the fintech loans over the last couple of quarters. And, also, if you could give what your asset sensitivity is now in terms of, you know, given that 25 basis point rate up.
Damian Kozlowski: Okay. So for the FinTech loans, 5% on the loans. So that portion of it is translated into a the it's a Fed funds. We get a zero interest rate deposit and we get a fee. So that's the for modeling purposes. That does move if you've got that is based on an enhancement of Fed funds at which stops at some point. So that might move a little bit, but that's not really very sensitive. Generally, it's a bracketed kind of fee base. So that'll help maintain the NIM even if you went down to zero interest rates that would not, you know, it's still be significantly above Fed funds. On the and the other quest what was the follow-up? What was the other question? The asset sensitivity. You know, how much of Oh, okay. Yeah. So that moves around based on both the liabilities and the assets. Right? So when we purchased we got it down to almost, you know, a neutral depending on, you know, it moves around temporarily depending on our modeling. But we reduced it a lot. At one point, it was 8%. And I think in the last quarter, it was close to 1%. Right? And but it moves around. So depending on if we get a surge in deposits, what those deposits are, so it can move from 1% to 3% depending on the utilization of the balance sheet. Right? And we're we still target to be in that 1% zone. And be just slightly asset sensitive.
Frank Schiraldi: And sorry. Just on the FinTech stuff, did you say the yield is 5%? On that? Is a lot of that flown through fees as opposed to NII?
Damian Kozlowski: Yes. Currently, it is. Yes.
Frank Schiraldi: Okay.
Damian Kozlowski: And but that it's the average a couple of things. It's the average balance. There's payoffs, you know. So this thing this you you see an average balance is really the thing to use. Not the end of period balance. And it goes through cycles. So you there's there's a lot of velocity on these loans. You get a lot of variability and balances. Over the over the quarter. So if you use the $3.6 million, and you look at the average balance, it won't be exact, but it should be fairly close.
Frank Schiraldi: To that 5%. So you're really not getting any pickup through You're getting these balances on the on the balance sheet and and in the average balance and, yeah, the average balance sheet but you're not getting any yield running through NII. For these.
Damian Kozlowski: Yeah. Well, we get, yeah, we get loan balances, but we don't get any Right. Yeah. We have we have one small program that's growing, so you will see it. I think there's a little bit of interest on the current income statement. And that's there's there's four different programs, remember. And there's something called Insta loan, which is now you know, when we roll out these programs, our partner is kinda gated. They go and stages. So that one is growing now. So that one was approximately $25 million at the end of last quarter. So that one will be growing and that won't show up in fees, that'll enhance the NIM.
Frank Schiraldi: Gotcha. Okay. Alright. But overall, as these things grow, as as you go from $500 million to a billion, you know, your your is just gonna fall because the denominator is higher and and most of the stuff's coming for two fees.
Damian Kozlowski: Correct.
Frank Schiraldi: Okay. And then and then just a a couple quick ones on the credit. Or just in terms of the Revel, my Alright. How successful are you guys? I mean, I would imagine some stuff is starting to move off the balance sheet. It's become stabilized and and moving into permanent financing. Do you have any numbers you can share on on those outflows in the first quarter? Do you know what the
Damian Kozlowski: we don't we haven't disclosed that. We don't have that in our disclosures. And we'll think about putting that in. We haven't disclosed that in the in the earnings release, so we'll have to look at that. Okay. I guess just You certainly said the book the the book has been fairly stable. You know, the the the deal market isn't great right now. We're being very selective. We put on enhanced underwriting because of the tariffs. So we have greater reserves on the loans. We have know, questionnaires to different borrowers, like, in things in SBA. So we're going through based on the current market environment. We're being very careful Spreads were very narrow and they've widened. So, you know, the but there's deals still getting done, but we're we're at with enhanced underwriting and we're putting additional reserves and things like the rebel portfolio. To make sure that there's not any disruption that there's plenty of funds available to re rehab apartments. Okay.
Frank Schiraldi: Okay. I'll I'll I'll let someone ask this question. I'll I'll requeue. Thanks.
Damian Kozlowski: Thank you.
Operator: Thank you. The next question comes from Tim Switzer with KBW. Please go ahead, sir.
Tim Switzer: Hey. Good morning. Thank you for taking my questions. I have a follow-up on the margin trajectory in Q1. So we we saw the loan yields come down similar to Q4. But the the deposit cost didn't come down quite as much, and I know you you guys kind of have a contractual almost 40% beta and better from the portfolio. Is there a timing difference here that we should see a catch up in Q2? Or what what drove, you know, the more stable deposit cost?
Damian Kozlowski: Yeah. It was a mix issue. So so our programs vary greatly. Not on the economics of the program, but how it's split between deposit and fees. And so we had one of our programs that is that is more deposit based has much higher deposit. That we pay out. Ballooned in the first quarter due to insurance payments. And so you saw a higher funding cost, which will roll off over the next quarter or so. So it's these it was about $500 million of deposits that are related to insurance settlements. And that'll roll off. That was part of the reason you saw a higher deposit cost.
Tim Switzer: Okay. And so it's safe to assume that's also the reason we saw, you know, basically a $600 million increase to average cash on the balance sheet, which also weighed on the NIM.
Damian Kozlowski: Yeah. That was definitely one of the drivers. We had very good deposit growth. The tax season was extremely strong and you know, we had for the first time deposit balances on many end of weekends that were $9 billion. We've never hit that type of number before. And so there was a lot of tax receipts. It actually had an impact on things like my pay because people got their tax returns, so they didn't take as much of our of the FinTech loans in February. Which reduced our fee income. In February. So it it's, you know, it's it's it's it can be very volatile.
Tim Switzer: Okay. And if and if we think about the NII and then trajectory going forward, the mechanics of it, Is it NIM improves in Q2 as those higher cost deposits roll off. And NII, I guess, is probably fairly flat plus some growth given loan growth.
Damian Kozlowski: It should be. Yes. So that's exactly that's correct.
Tim Switzer: Okay. So the deposit cost should be back down kind of in line with that 40% beta one. Fee. That $500 It's it's they they depending on when those deposits And we're also there's there's more than that going on. We're offloading high-cost deposits. So we have variability in our deposit base. And so some higher-cost deposits, like saving deposits, we've been moving off the balance sheet for some of our programs. So that also will help. The NIM and lower deposit cost. Okay. Gotcha. And then I have another quick question on the take rate on GDV. Looks like it went down a little bit Were were there any one-timers in there, or should we expect that to be a new run rate going forward?
Damian Kozlowski: No. That was once again, that's very volatile. I think you have to look at that over That's a mix. Once again, it's a mix issue. And once again, based on it's hard in the first quarter because it's the anomalous quarter due to the tax receipts. So it should be that was lower than usual. That's the first part. The second part is the the one to one that we used to experience is better if you put the two lines together So if you put that ACH and other fee line together with the card line it's because our pricing has more and more moved to multiple products. And so we just and because of that, it's it's, you know, multiple fees coming from the same program. So it's better to look at it by you know, that 13% number is the way to look at the GDP. So if we had 18% growth and 13%, total fee growth for the first two lines in the financial statements, you could keep the credit sponsorship out. That's even additive But once again, that's the same program. Right? So for a chime, you're getting a triple layers You know, we call it the layer cake, but yet triple layers of fees. Coming from the program. And if you look in the past and try to compare it, there weren't these other ancillary services. So it's much better to take the first two lines, the card fees, and the other fees together, versus GDP, and that'll give you the first two you know, the first two fee sources for our larger programs. And that's why those that's a more relevant measure than it has, say, five years ago.
Tim Switzer: Got it. Okay. That's that's helpful. And if I if I can have one more, please. There's been a lot of disruption in the banking as a service space with some smaller competitors. They're looking to exit or pull back at least and there's another competitor exploring strategic alternatives Has this created any opportunities for The Bancorp to maybe acquire new programs or portfolios or entire business lines and what's your approach to that?
Damian Kozlowski: Yes. So we're working with the largest highest growth partners. And so we've been preparing ourselves We we we seldom take a many of the competitors in the space they have programs that we wouldn't necessarily be interested in. We're looking at the very large expanding our large relationships Right? And then adding product capabilities. we think we can sustain And I think we have some very exciting things. You know, we're this GDP level for multiple years. I think we'll have interesting things to tell the market. You know, things aren't done until they're done, but I think as we add these larger programs, they will be meaningful to the financial statements. And when they when they happen, and when they're willing to ready to be announced, we'll either have a press release or a case. So we we think it's we think our current GDP, you know, that 18-13, is sustainable. And now with the enhancement of credit sponsorship, you know, we can think you know, mid-twenties is you know, a CAGR of 25% is not out of the question, and that's we're still building other delivery model like embedded finance which would enhance that additionally and add other credit sponsorship programs. So we we're preparing ourselves to have expanded relationships with more products and a sustained level of higher GDP. Which has a lot of implications. So know, we have to invest in our platform and make it extremely robust. We're not you know, it's systemically important to the financial industry. When you have such a big exposure to the largest programs that are you know, that span fifteen different verticals but span every state of the union and and almost every person. So we're we're investing in it. We expect sustained levels of higher GDP growth and when we get a product or new relationship expansion that's meaningful, we will announce it when at the appropriate time.
Tim Switzer: Got it. Very clear. Thank you, Damian.
Operator: Thank you. The next question comes from Joe Yanchunis with Raymond James. Please go ahead.
Joe Yanchunis: Good morning.
Damian Kozlowski: Good morning.
Joe Yanchunis: So I I just wanted to follow-up on some of the commentary you made on your credit sponsorship program. So you have four programs that are currently contributing to your growth right now. You know, just to reiterate, you have three that run solely through fee income and one that's rental NII. Can you reach your 2025 and 2026 target year-end targets with just these four programs?
Damian Kozlowski: Yes. So in our in our plan, there's a difference between our plan and say, our just those four programs plan. So in our in our own budget, it's in the eight, you know, fifty range. In the budget of our of just those four programs is over a billion dollars. So yes, the answer is yes. Even if we don't add a program, we'll be able to meet that one billion dollar target. And we're already well on the way. We're at $571 million at the end of the quarter. There is a a a we the growth we're experiencing is very robust. So we we think we'll be able to get there. Even just with those four.
Joe Yanchunis: Perfect. And then shifting gears here, in the prior quarter, you used about a quarter of your 2025 share repurchase authorization. Kind of given the recent dislocation in the stock, should we expect you to lean in the buyback a little more? And front load your repurchase activity for the years?
Damian Kozlowski: So and I've mentioned this before. But nothing has been decided. And that's subject to board approval and everything else. We're our net income know, kinda target is around the $250 million level. And $100 million of that is going to repay debt. Approximately $100 million we have one senior secured facility at the holding company level. And we plan to repay that debt. And that's why our buyback is $150 million. At that repayment, we're basically at where we wanna be on our capital levels. So the so we could refinance that debt or add more. It's it's doubtful that we just do $100 million. We would do more than that. And then we would use all those proceeds depending on the rates in the market and our stock price, we would use that to enhance our buyback. However, I just wanna reiterate nothing has been decided. We're if we're we're on the track right now just to repay the debt. But it is being considered that we would raise probably more than the debt that's going to be repaid. And use those for buybacks depending on the prevailing race and the stock price.
Joe Yanchunis: Got it. Thank you for that. And then last one for me here. Just kinda going back to the GDP growth. I certainly understand your commentary about continuing to maintain at these current levels, if not accelerate. But is there any way to kind of look into you know, all this payment volume that you've you see. And are you able to see any changes in behavior in the consumer in light of the kind of heightened economic uncertainty?
Damian Kozlowski: Yeah. So our data is has been used by even institutions like the Fed. It's so broad. To understand activity. So the thing I would say is that we're nominally based, not real dollars. So things like inflation so say you kept consumer spending go down by 4%, but inflation was 8%. We'd actually have a 4% positive. It's all nominal, and it's all a lot of our payment volume is necessary payment volume. It's coming from the normal everyday people doing transactions, that are absolutely necessary. You know, they're buying milk, or they're going to the theater or whatever it is. And so even if consumer spending goes down, in a deflationary environment, it would be bad for us. They've you know, you you get got that environment and consumer spending went down. That would be very bad for us. But what good for us? Inflation is actually good for our realization of revenue. So you would have to have unless inflation goes down much lower, and consumer spending was down much lower. But remember, our consumers spending is definitely not discretionary. A lot of our spending is necessary. You know, you get a paycheck, and you you use a lot of people are paycheck to paycheck. Our portfolio tends to be more paycheck to paycheck individuals.
Joe Yanchunis: Understood. Thank you for taking my questions.
Damian Kozlowski: Thank you very much.
Operator: Thank you. The next question comes from Frank Schiraldi with Piper Sandler. Please go ahead, sir.
Frank Schiraldi: Yeah. Hey, Damian. Just one follow-up. Just on the the on the Oreo property, that is going to be or or that been delayed till May, the the closing date of the sale. And I know you're supposed to get that deposit in in a couple of days. You mentioned in the release you talked about the the change in ownership, I think, at at the buyer. And just kinda wondering your thoughts there. Are you still confident? Could could this be is it more tenuous now that we haven't changed in ownership of the buyer or just your general thoughts on that closing in May?
Damian Kozlowski: I I don't think so. This was a this was in they had a change in their group. This is a group that's trying to build a portfolio of assets. And this this potential you know, this this change shift strengthen that group. It didn't take away from that group. And so, you know, they had to work out among themselves through several different filings and negotiations. And so they're they're continuing to support the property, and they paid insurance. And they're fixing the it's been leased up. You know, it's not all the way leased up, but it's in a much better position, almost at the breakeven level. It's in the 65-70% level now, so it's they only you know, this is where the property starts making money. So it's everything's in everything's the green light. They're just we've been very flexible flexible with them because they've been a great partner. And they know, they say what they're gonna do. And and they had this issue. And we wanted to make sure that they you know, they're still investing in the property. So there it's very good faith situation. We're expecting still expecting the deposit and the close date to be held.
Frank Schiraldi: Great. Okay. I appreciate it. Thank you.
Operator: Thank you. There are no further questions at this time. I'll turn the call over to Damian Kozlowski, the Chief Executive Officer. Please go ahead, sir.
Damian Kozlowski: Thank you, everyone, for joining us today. Operator, you can disconnect the call.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call.